Executives: Paul J. Alexander - Vice President of Investor Relations Mark A. Buthman - Chief Financial Officer and Senior Vice President Thomas J. Falk - Executive Chairman, Chief Executive Officer, President and Member of Executive Committee
Analysts: Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division Alice Beebe Longley - The Buckingham Research Group Incorporated Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division William Schmitz - Deutsche Bank AG, Research Division Gail S. Glazerman - UBS Investment Bank, Research Division Jason Gere - RBC Capital Markets, LLC, Research Division Lauren R. Lieberman - Barclays Capital, Research Division Wendy Nicholson - Citigroup Inc, Research Division Christopher Ferrara - BofA Merrill Lynch, Research Division Linda Bolton-Weiser - Caris & Company, Inc., Research Division Constance Marie Maneaty - BMO Capital Markets U.S. John A. Faucher - JP Morgan Chase & Co, Research Division Javier Escalante - Consumer Edge Research, LLC Chip A. Dillon - Vertical Research Partners Inc.
Operator: [Operator Instructions] It is now my pleasure to introduce today's first speaker, Mr. Paul Alexander.
Paul J. Alexander: Thank you, David, and good morning, everyone. Welcome to Kimberly-Clark's First Quarter Earnings Conference Call. Here with me today in Dallas are Tom Falk, Chairman and CEO; Mark Buthman, Senior VP and CFO; and Mike Azbell, Vice President and Controller. Here's the agenda for our call: Mark will begin with a review of our first quarter results; Tom will then provide his perspectives on our results and our full year outlook; and we'll finish as usual with Q&A. As usual, we have a presentation of today's materials in the Investors section of our website. Now before we begin, let me remind you we'll be making forward-looking statements today. There can be no assurance that future events will occur as anticipated or that our results will be as estimated. Please see the Risk Factors section of our latest annual report on Form 10-K for a further discussion of forward-looking statements. I'd also like to point out that we will be referring to adjusted results and outlook, both of which exclude certain items described in this morning's news release. For further information on these adjustments and reconciliations to comparable financial measures determined in accordance with GAAP, please see today's news release. And now, I'll turn it over to Mark.
Mark A. Buthman: Thanks, Paul, and good morning. Let's start with the headlines: first, we delivered organic sales growth of 6%. It was highlighted by 13% growth in K-C International; second, we generated strong improvements in both our adjusted gross and operating margins, as well as double-digit growth in adjusted earnings per share; and third, we reinvested significantly behind our brands, with higher levels of strategic marketing and R&D investment.  Now let's cover the details of the quarter. Overall, sales increased 4% to $5.2 billion. Organic sales rose 6%, driven by higher net selling prices of 3%, increased sales volumes of 2% and favorable mix of 1%. On the other hand, lost sales in connection with our pulp and tissue restructuring, as well as changes in foreign currency rates, each reduced sales by 1%.  Moving down to P&L. Adjusted gross margin was 33.2%. That's up 250 basis points year-on-year. The improvement was driven by organic sales growth and $60 million of FORCE cost savings. On an adjusted basis, first quarter operating profit rose 12%, with an operating margin of 14%. That's up 90 basis points compared to the prior year. Between-the-line spending increased versus last year, including a $45 million step-up in strategic marketing to support our product innovations and targeted growth initiatives. Additionally, administrative and research spending increased as we continue to build capabilities to support future growth. First quarter adjusted earnings per share were $1.24 as compared to $1.09 last year. The improvement came despite lower net income from equity companies. And in terms of the tax rate, our adjusted effective rate for the quarter was 29.3%. That was similar to the year-ago quarter. We continue to expect our full year rate to be in the range of 30% to 32%. Cash provided by operations in the first quarter was solid at $585 million. That's up nicely from $250 million in the prior year. The increase was driven by lower pension contributions and higher cash earnings. So our balance sheet and cash generation remain strong, and we continue to allocate our capital in shareholder-friendly ways. In February, we announced our 40th consecutive annual increase in the dividend. The 6% increase should help us maintain our top-tier dividend payout ratio in the CPG space.  In addition, during the first quarter, we repurchased 6.3 million shares of KMB stock at a cost of $460 million. We continue to expect full year share repurchases of $900 million to $1.1 billion. Altogether, full year share repurchases plus dividend payments should total at least $2 billion returned to shareholders for the second consecutive year. Now I'll highlight a few areas from our segment results for the quarter. In Personal Care, organic sales rose 9%, with volumes up 6% and net selling prices advancing 3%. Volume performance benefited from strong growth in K-C International, including double-digit growth in each of our major regions. In addition, our European business delivered broad-based growth in the quarter. The increase in net selling prices was driven by K-C International, as well as our Infant Care and Baby Wipes businesses in North America. I'm encouraged by the price realization in our North American Diaper business, which as you know, is a key focus for us this year. First quarter Personal Care operating margins of 16.9% were 90 basis points below the prior year. Nonetheless, our margins did improve 150 basis points sequentially compared to the fourth quarter of 2011. This bodes well for our expectation that full year 2012 Personal Care margins will be similar to the 2011 full year average. Turning to Consumer Tissue. Organic sales were up more than 2%, net selling prices rose 4% and product mix was favorable by 1 point, while organic volumes fell about 2%. Price realization was excellent in both North America and across K-C International. Consumer Tissue operating margins rose 410 basis points versus last year. And I was really pleased to see that our global tissue teams continue to capture the benefits from our strategies to improve revenue realization and drive cost savings. Moving to K-C Professional & Other. Organic sales were up about 5%. The increase was driven by improved volumes of 3%, higher net selling prices of 2% and slightly favorable mix. Volumes were up high-single digits in K-C International, while North American and European volumes were up low-single digits. Operating margins of 15.7% were up 220 basis points versus last year. That was driven by benefits from sales growth and cost savings. And lastly, our Health Care organic sales were up 4%, driven by volume growth. Medical supply volumes rose mid-single digits, led by growth in exam gloves and surgical products. In addition, medical device volumes advanced low-single digits, with solid growth in our airway management business. Operating margins of 13.1% were in line with last year.  So that wraps up my comments. To recap, we achieved solid organic sales growth that was led by K-C International. We delivered improved margins and earnings per share, and we're reinvesting in the business to support our growth strategies. Now I'll turn it over to Tom.
Thomas J. Falk: Thanks, Mark, and good morning, everyone. I'll share my perspectives on our first quarter, and I'll focus in on K-C International and then I'll briefly recap our outlook for the year.  So let's start with the first quarter. Our results were very good. We're off to somewhat of a better start to the year than we planned 3 months ago, and that's mostly due to better top line growth in K-C International.  Mark's already reviewed the key financials for the quarter. So let me just add that I'm encouraged by our top line growth, by our gross margin improvement and by the investments we were able to make behind our brands. And then finally, we had a terrific bottom line performance. So we got more work to do and the comparisons will get tougher as the year progresses, but I'm very optimistic about the state of our business coming out of the first quarter. Since K-C International is a key part of our overall growth strategy, I thought it'd be helpful on this call to share some of the details about the actions that we're taking and the results that we're delivering in this business. So first quarter organic sales growth in K-C International was 13%. And that was highlighted by an 18% organic growth in Personal Care. Now some of you may know, this business is now larger than our Personal Care business in North America. So we got scale and we got terrific growth prospects in this business.  We continue to deliver strong results in our key geographic priorities. In China, for example, organic sales grew more than 45% in the first quarter. And Huggies diapers have now expanded into nearly 80 cities, and we're in the process of launching a new diaper-pant in this market. In Russia, our organic Personal Care sales are up about 25%, and that included benefits from the Huggies diaper upgrade we began supporting in the first quarter.  In Latin America, our organic sales increased by nearly 25%, and that included 20% growth in Brazil where we're launching Intimates Explosion, which is a premium feminine care line extension that's very similar to the U by Kotex launch that we've had going in the U.S.  From a product standpoint, we continue to drive strong growth in our biggest Personal Care businesses in K-C International. In fact, in the first quarter, organic sales were up 20% at infant care and more than 10% in feminine care.  But I think it's also important to note that we're making good progress with some of our smaller investment businesses in K-C International. For example, we had organic sales in adult care, grew 25% in the quarter. And baby wipes were up about 20% in the quarter. In the past, these 2 businesses were largely North American. And now, we're starting to make them truly global, and we're leveraging our strong brands, the favorable demographic trends and the investments that we've made behind these areas over time. If you look elsewhere in KCI, we saw good growth in our K-C Professional business in the emerging markets. In first quarter, organic sales for KCP increased 10% within KCI, and that included 20% growth in Latin America. And so we expect KCP's momentum in emerging markets to continue as we make strategic investments where you see industrialization and economic development occur. And lastly, our Consumer Tissue business in K-C International continues to drive revenue realization, improved mix and cost savings. Our teams delivered a solid step-up in margins in the first quarter, and that further built on the progress that they made in 2011. So that's just a little bit of a deep dive into our K-C International business. Overall, our strategies are working, our categories are healthy and we continue to be very optimistic about our prospects for this business.  Now before turning to the outlook, let me just touch briefly on our market positions in the U.S. While the U.S. market is very competitive, we're in solid shape, overall, from a share standpoint. Our market shares are up or even with the year-ago period in 5 of our 8 consumer categories. And that's true in 7 of 8 if you look at it sequentially compared to last quarter. So our businesses in the U.S. remain fundamentally strong, and we've got more innovation coming to further improve the health of our brands. So now let's look -- move to the outlook. Regarding the global economy, our views are similar to or perhaps slightly better than what we talked to you about in January. We continue to expect that conditions will remain healthy in emerging markets overall, and we're not seeing any slowdown in our categories at this point.  In Venezuela, where we had a solid first quarter, results are likely to soften a little bit going forward, given the price controls that recently have gone into effect. In the U.S., the economic environment seems to be improving rather modestly. As a result, we aren't planning for a big pickup in market demand in the near term, and we expect the baby and child care categories to remain soft. And finally, in Europe, we expect the marketplace to remain challenging, although through the first quarter, our European team is off to a solid start on executing its 2012 plan. So in this environment, we'll continue to pursue our targeted growth initiatives. We'll leverage our strong brands and we'll continue to bring innovation to the marketplace. In K-C International, we'll continue to expand diaper-pants, premium fem care and adult care offerings into more markets. In North America, we have several launches currently underway or that will happen in the near term, and that includes our Super Premium Depend Briefs, the latest fashion execution on Huggies diapers, new U by Kotex products, some health care pain management offerings and several new K-C Professional innovations. To support our brands and growth initiatives, we'll continue to increase strategic marketing and research and development spending at a faster rate than sales will grow this year. Now we mentioned in this morning's news release, we reconfirmed our key planning assumptions from January. In terms of cost inflation, our total expectation for the year is unchanged. Although most oil-based costs are tracking a little higher than we expected, that will be likely offset by somewhat more favorable pulp costs. Nonetheless, most commodity costs are expected to rise sequentially from first quarter levels, so we'll continue to focus on cost savings and revenue realization strategies. In short, we're executing the plan we laid out 3 months ago. And we're continuing to target full year adjusted earnings in the range of $5 to $5.15 per share.  So to summarize, our first quarter performance was encouraging. We're well-positioned to deliver on our full year 2012 plan, and we remain convinced that our Global Business Plan will continue to drive improved shareholder value.  So that wraps up our prepared remarks, and now we'll be happy to begin to take your questions.
Operator: [Operator Instructions] Our first question comes from Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: A few questions. It was actually helpful that you spent some time on the KCI business, and then particularly in Personal Care, wanted to get a sense from you guys of how much of the growth is distribution growth or driven by distributive gain versus sort of same-store sales. Because that will tell us a little bit about the sustainability of that growth rate. And I guess a subpart of that question is just around the margin impact of that growth in the emerging markets. I know it used to be that your margins there were pretty darn close to the developed world, so love to get a sense of that as well, please.
Thomas J. Falk: Yes, good questions. I'd say -- we would say we took share in most of the emerging markets at the kind of growth levels that we saw. In a market like Latin America, for example, where we're up 25% in Personal Care, I mean, we've gotten most of the distribution in place that we need there. So there's some places in Brazil that we're expanding. In the Northeast, that's sort of new territory for us. But other than that, we're pretty fully penetrated. Russia, we've got great distribution in and around the Moscow region, but we're expanding more to the East and into the balance of the country. But we also would say we had some share gains behind innovation there. China was the one that was -- is a big number. And I think we went from, I think, 72 cities at the end of last year to 80 cities now. So part of it is distribution-related. But we also have moved into Tier 3. So we're expanding our offering, and we're just in the process of launching diaper-pants. So there's probably a little bit of pipeline fill there. So yes, some share growth, but a lot of innovation and some distribution expansion. And it's tough to break those down, but I'd say, probably in China in particular, was more -- we were expanding into new categories and new markets, and Latin America was probably more of share growth.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: So just -- before I get to the follow-up on the margins part. So if you were to say kind of the Personal Care business, 19%, I think, is the organic growth number, you think 2/3 same-store sales-ish, 1/3 distribution gain, is that a fair gut check?
Thomas J. Falk: I'd be guessing. I would say it doesn't sound wildly out of bounds, but we don't have good data to really track it at that level of detail.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay. Okay, and then I had a second part of that question...
Thomas J. Falk: Yes, on the margin front, we saw some good margin improvement from KCP as well. So we saw double-digit profit growth in many of these markets as well. So good cost savings performance, good price realization, probably nearly half of the price realization in dollar terms from a total corporate standpoint was in K-C International. So yes, no, they're off to a good start this year on top line and bottom line.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay. Switching gears a little bit to free cash flow. And I've asked this question before, but I just want to continue to get comfortable, maybe I'm just too old fashioned about this stuff, but your free cash flow is again less than the dividend and stock repurchase or basically the payment to shareholders. I'm just trying to get a sense of how I can feel comfortable with that, especially when you're not getting -- we're not being hit as much by restructuring charges turning to cash. So how should we feel about that?
Thomas J. Falk: Okay. I'll let Mark talk to that one.
Mark A. Buthman: Ali, we look at it on an annual basis. So our cash flow isn't going to be consistent. It'll -- our operating cash flow will grow over the year. We knew we were going to come out of the gate strong with share repurchases. We were out of the market in the fourth quarter, so we wanted to start strong. We've got about half of the low end of our share repurchases in the bank already in the first quarter. Built a little bit of debt, but that'll come down as the year progresses. For the full year, I think you'll see probably $3 billion of operating cash flow, with about 1/3 going to capital spending, 1/3 going to dividends and 1/3 going to share repurchases. So for the full year, we're not looking to increase significantly our debt. To back up strategically over the last 10 years, I think in '07 and then last year, we made a choice to increase our debt. But other than that, we're funding share repurchases. And our goal is to fund them out of available operating cash flow.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then just my last question, if you would, is around the increased marketing spend, $45 million this quarter, for example. Can you give us a sense of how you prioritize that? So I guess what I'm getting at is, how much of that is spent in the emerging markets to grow the brand, to grow education, et cetera, versus new innovations in the U.S. versus competing in Western Europe? Because it looked like it was somewhat competitive. How do you break that up? I know you mentioned your innovation and other projects, but how do you prioritize that spend?
Thomas J. Falk: Yes, each of our teams around the world, we really own the P&Ls on a geographic basis. So they'd put together a plan. They'd work with our global brand teams to make sure that we're resourcing the plan in the right way, and that we're looking at the relative ROI in each of these markets and the opportunity there. We have a series of global planning sessions where we work through and say, "Yes, this one makes sense, this one, you need to go do a little bit more work" and rinse through that as just part of our ongoing business planning process. And so, as you can imagine, it's a mixture of some center view of the market and some local view of the opportunity. And those usually come together in a business plan that then we go execute.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: So no, so I understand the process, but when you roll it all up, obviously, you kind of look through and say, "Are we tackling the right stuff?" So again, how much of that can you tell? Or do you not maybe do this in the end, these emerging markets versus developed world versus defending those kind of buckets?
Thomas J. Falk: Yes, we do, do it at that level, but there isn't a big calculator at corporate that's got that level of scientific view. So you look at China and say the opportunity is huge. And so the question is, how can we go even faster? Then you know that -- you don't look at a 1-year payback and compare that around the world. It's what's your relative competitive position, what's the strength of your innovation, what's it going to take to communicate that message to the consumer. And you look at those opportunities and decide which of the opportunity set that you have balances against your strategy and attack those.
Operator: Our next question comes from Alice Longley with Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: Can you comment on why you're holding to your guidance and what kind of deceleration your guidance assumes in the second quarter as opposed to the second half. But I mean, you beat so much, and I know that the gross margin, you've already said the gross margin will be up less in the second half than the first. But I think you indicated that the first quarter was an upside surprise to you, too. So why hold to this guidance?
Thomas J. Falk: Yes, I think -- we're 3 months into the year. So it's relatively early in the plan. There's still lots of things to worry about and lots of competitive activity happening in the marketplace. If you look at the earnings beat, $0.03 of it was really related to a little lower effective rate. That was in our guidance for the full year. It's just that the individual settlement happened in the first quarter. So if you looked at it from that standpoint, on a normalized tax rate, we're not that far ahead of what we said. And so I still think it's the right level of guidance. If we're sitting here 3 months from now and things -- the momentum continues, we'll take another look at that and give you an update at that point.
Alice Beebe Longley - The Buckingham Research Group Incorporated: You just cited -- or said that there was a lot of competitive activity out there. Could you tell us which category and which region you think competition will be heating up?
Thomas J. Falk: Yes. Well, sure, I mean, in fem care, P&G has got a major relaunch coming in the U.S. In diapers, they've got a relaunch coming midyear, and they've got a big Olympic program in the third quarter. They're going to drive that globally. So yes, there's plenty of stuff to react to, and we are off to a good start. We're encouraged by that. We're certainly going to keep -- I mean, my goal, Alice, is to deliver terrific results and not necessarily be the most accurate forecaster that you've ever had.
Alice Beebe Longley - The Buckingham Research Group Incorporated: Okay. And then my last question is, to circle back to the emerging regions, what percentage of your revenues in emerging regions comes from baby care, roughly?
Thomas J. Falk: Paul, have you got the split of that?
Paul J. Alexander: Yes, we don't break out precisely, but if you added up infant care and child care, it would be at least half.
Operator: Our next question comes from Caroline Levy with the CLSA.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Incredible acceleration in growth, fourth to the first quarter. I'm just sort of looking at my notes from K-C International, and the fourth quarter was only up 7. And so again, just trying to get behind what Alice was getting at, do you think this was an anomaly, this kind of 19% growth in those markets? And then also just to understand, because I think Europe was very, very soft in the fourth quarter, so can you tell us what programs are working to turn that around? And I think price was down 5% in Europe, but your volume growth of 11 more than offset that. So just helping us understand if any of this is one-off and why it wouldn't be sustainable.
Thomas J. Falk: Yes, sure. No, I think the first quarter is probably a little easier comp for us. So we're -- the growth rate looked a little bit better from that standpoint. But we had a little lighter first quarter last year. So that's probably part of it. I'd say in emerging markets, the momentum has been pretty good. And so we're seeing that continue and even accelerate a bit. We've got more investment behind it, more innovation happening in the first quarter than we had in the fourth quarter. And we'd expect that pace to continue as the year rolls out. It's also encouraging to see some of our investment businesses like adult care and baby wipes that really have been predominantly North American businesses. We're investing in those. We're putting the right resources behind them. And we're seeing those really start to take off in emerging markets. And I think we're still very early days on that front. And in Europe, what we're seeing right now is it's a very competitive market and Tesco's had some challenges in their home market in the U.K. They're wanting to promote and drive foot traffic heavily. That's part of what helped our business in the diaper side, in particular, in the first quarter. Tissue is a little soft in Europe. And as we were trying to take a little bit of price increase and the category wasn't moving. So we lost a little bit of momentum on Andrex in the first quarter but are looking to get that back. Southern Europe, particularly Italy, you've got retailers advertising private label pricing right now and really talking about the economic crisis and how consumers have to be cautious. So there's a lot more promotion spending in the marketplace. And that's showing up in some of the negative price. And we're getting some positive volume lift from that, which is good. But it comes at a cost.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Right. And you mentioned your non-branded business in Europe. Do you supply some of that private label?
Thomas J. Falk: We have some. A small amount of our sales -- less than 10% of our sales in Europe is private label. And we picked up a couple of additional contracts, and you saw that in some of the volume numbers in the quarter. But not a big factor in our overall effort at this stage.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: So the bigger question for me, just taking a longer-term view, is the birthrate declines in U.S. and Europe. And is there any chance that you see that the volume actually picks up in these markets without the birthrate recovering?
Thomas J. Falk: I think that if the birthrate doesn't recover, I think that'll be tough because consumers are pretty much using 5 diapers a day. And if they don't have babies being born, that's going to fall off. I think as we look at the U.S. birthrate, at least, and look at some of the underlying causals being employment rate, household formation, you're even seeing it in some of the housing data that's starting to emerge, there are some reasons to believe that the birthrate will turn from being slightly negative to slightly positive later this year. The category in the U.S. will still be down a couple of percent just because of the fact that over the last several years, the birthrate's been down. And so as those children are still in diapers this year, we won't have the benefit of their participation in the category. But we would think, going forward, the birthrate starts to turn neutral or slightly positive. Again, the big growth story is going to be K-C International, where the category penetration is quite low and there's a big opportunity there as the category builds out.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Absolutely. Just a last question, in the U.S., did you gain share then in all of your major categories this quarter?
Thomas J. Falk: We were up in 5 out of 8 -- up or flat in 5 out of 8 year-over-year. And if you look sequentially, we were up or flat in 7 out of 8. And so in diapers in particular, we were relatively flat sequentially and year-over-year.
Operator: Our next question comes from Bill Schmitz with the Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: So the first question is, who thought it was a good idea to name a fem care product Explosion?
Thomas J. Falk: Bill, they don't let accountants like me name anything. We have a whole army of marketing people that do a fantastic job of that. And I'm sure in Portuguese, it's a fantastic expression that consumers love.
William Schmitz - Deutsche Bank AG, Research Division: Okay. Was there any help from the leap year this year in the quarter?
Thomas J. Falk: No, not that I know of. Somebody pointed that out to me, and I said, "Oh, yes, it was leap year this year." I don't know. We probably had an extra shipping day somewhere, but I don't think that was a big enough factor to drive anything significant.
William Schmitz - Deutsche Bank AG, Research Division: Okay, great. And then just a last one, on the Personal Care business, is there any way to sort of disaggregate the margin softness between just a mix shift both between emerging markets and U.S. markets, and the slowdown in training pants and then just commodity inflation? So is there just like a rough metric to kind of see what's driving that margin contraction?
Thomas J. Falk: Yes, although you look at it sequentially, and the margin was up nicely. And so a good chunk of the sequential improvement was price realization, particularly in North America. And a good chunk of the commodity cost, the oil-based inflation, did hit Personal Care, a good -- a fair amount of that in emerging markets. So they were able to get price to offset some of that so...
William Schmitz - Deutsche Bank AG, Research Division: Okay. So I mean it's not -- it doesn't sound like it's that material, the geographic mix shift and then the training pants mix shift?
Thomas J. Falk: No, I would say there was very modest, if any, impact from a geographic mix shift.
Mark A. Buthman: Yes, commodities was the big factor.
Thomas J. Falk: Yes. Commodities and price realization were the big factors.
Paul J. Alexander: Yes. In fact, though, our margins in K-C International were up significantly year-over-year.
Operator: Our next question comes from Bill (sic) [Gail] Glazerman with UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: Sticking on International for a second, it looked like K-C International tissue volumes, even excluding restructuring, were pretty weak. Is there anything one-off there? Is there something that we should be like looking at or thinking about?
Thomas J. Falk: Yes, what you saw there was positive price, really positive mix and negative volume. And part of that is how we count unit volume. So as we de-sheet and put shelfs, is one way we get price. We show that as positive price and negative volume. And so we've been driving that business to drive mix shift and sell more premium products and move from one-ply commodity to two-ply premium around the world. And you really saw that come through with the numbers. So it really sort of belies the progress we're making in terms of consumer share by those statistics. But we've been doing it that way from a -- consistently. And so we just try to be transparent on what's actually happening.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay, great. And kind of sticking on demand and volumes, you mentioned in the release seeing some improvement in your washroom business in North America. Can you give a little bit more color? And was that trend consistent through the quarter, getting stronger or weaker as you exited the quarter?
Thomas J. Falk: Yes, I mean, I think KCP usually starts out a little slow just because some distributors will take a little bit more inventory before the end of the year just so they've got -- to tide them over. And so -- but I'd say things have been picking up throughout the quarter. And we had some distributors in recently and they were pretty bullish on their outlook this year in the U.S. market. So they were talking about high single-digit, low double-digit growth, pretty broad geographic distribution in the U.S. You're starting to see it in office buildings and lodging, and some of the occupancy rates are ticking up a bit. I'd say manufacturing is an area that's been a little slow that's starting to pick up as you're seeing more employment there, but still some room to go there. And we've had some innovation that we're out talking about as well. So part of it has been positive as we're out talking about a healthy workplace and with some new dispenser programs and things like that in that market. So we're feeling pretty good about KCP.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And then just a couple of quick questions on inflation. Can you give a sense of what you're looking at for natural gas? I guess it was $3.00 to $3.50 last quarter, and I'm assuming that's changed.
Thomas J. Falk: Yes, I mean, our outlook for it is in the, what, $2.00 and change -- $2.25. And we're partly hedged. As you know, we were probably 60% hedged last quarter. And we've got hedges in place on a rolling basis for the next several quarters. So we don't get the full benefit of that. But for every full dollar per MMBTU that gas changes, it's about $16 million in operating profit in North America, and -- just from a rule of thumb standpoint.
Mark A. Buthman: Before any impact from hedging.
Thomas J. Falk: Right, before hedging. Just on a raw number.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And I guess your real inflation was coming from kind of other raw materials. Can you talk about kind of -- I know you said you expect inflation to be up sequentially, but just what that trend was. Is that just recognizing increases through the quarter and things have stabilized? Or are you still seeing inputs within that category still rising?
Thomas J. Falk: Yes, I mean, most of the ROI [ph] stuff is polymer. And you're seeing it in some of the shortages of things that are popping up. You saw it in the gasoline market in the first quarter, and it's just been real volatile. And I think if you look at a lot of the resin pricing that we buy, that's probably been the biggest single driver and expect that to tick up a bit in the second quarter. Pulp is expected to move up. We've seen a couple of moves already. That'll probably be the biggest dollar impact on some of the sequential changes. And there's a question, will -- there's some expected pulp capacity in Brazil that's supposed to start up later this year. Whether or not that happens is still, I think, weighing on the market.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. But pulp, I mean, we're starting to see Asia kind of roll off right now. There's certainly a lot of the capacity coming on over a 6-month period starting later this year. Reports indicate that discounts are up. I mean, your forecast continues to be even, though it's down significantly, above where we are year to date. I mean, is there really anything you're seeing in terms of securing supply that...
Thomas J. Falk: Well, we saw -- we've seen eucalyptus price went up, I think it was $70 a ton in the market last month, and they're talking about another price increase coming up in May or June. So there is some upward movement on pulp price. On the other hand, we'd say secondary fiber price has been a little softer than we expected. So we'll see. A lot of it depends on Asian buying and what happens there. And if the Chinese are not in the market, you could see a little sloppier pulp market in the second quarter. We'll see.
Operator: Our next question comes from Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC, Research Division: I guess just talking about the diaper business in the U.S., and last quarter, we saw a lot more promotional spending out there and it didn't really kind of drop to volumes. I guess, can you just put a little color around what you saw the last 3 months on the competitive side, even from -- on the retail side as well? I know the trends don't look all that great, but I'm just wondering if this kind of came in line with your expectation. And do you see more the focus on price realization going forward as opposed to a little bit more price investment coming back as we saw in the fourth quarter?
Thomas J. Falk: As we talked on the last call, some of the activity in the fourth quarter, we believe was related to our launch of Diaper-Pants and our competitors were responding to protect, as they would typically do, in a major launch situation, as we would do if it was the other way around. And so some of that rolled off. And in the first quarter, we were pleased to see where we got really no price realization in North America in the fourth quarter, we had a couple of points of price realization in the first quarter. So that's a positive sign. The price increase appears to be in place across all the major retail channels in North America. There's still a fair amount of promotional activity out there, but it is a reduced rate from where it was in the fourth quarter. So we feel pretty optimistic about how it moves from here. And there's lots -- we got innovative products in the marketplace with our mainline Huggies. We got more innovation coming, so does P&G. So -- but the good news for CEO mom is that there'll be lots of news in the diaper category over the next couple of quarters, and then that makes it that much more challenging for private label and others in the category.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay. And then what about training pants? I mean, that seems to be one of those categories that's kind of taken the hit over the last couple of years. How do you re-engage the consumer? I know we're probably not there yet. We have to wait until birthrates go up. But how do you kind of manage that business right now? And what do retailers talk to you about the shelf space that you have?
Thomas J. Falk: Well, I mean, it's a terrific category still, and it's a very good category for the retailer. Now the reality of it is, we have 3 years of a declining birthrate that totaled close to 8% decline in live births in the U.S. That's essentially piled up in the training pant category, because that's about where toilet training occurs, is around age between 2.5 and 3.5. And so we've gotten good visibility on that with our retail customers. We're driving lots of innovation. We're launching some new products around that space. We got a terrific GoodNites business that's in that space in the aisle. We're launching a new GoodNites bed mat that'll be out there for overnight use for children in that space. And so I think while everybody would like it to grow faster, they also understand the reality of what's happened in the demographics for the near term.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay. And then just on Consumer Tissue with the U.S., just given where pulp prices have been, have you seen any changes from your competitors out there in terms of trying to take down price or get a little bit more promotional there?
Thomas J. Falk: Not really. I mean, I think the pricing has gone in, and the -- as high as pulp got, we never really even fully recovered the highest level of pulp price in the finished product selling prices. And so I think there's a sense that we're still probably behind from where we were. So I think so far, again, that market has been relatively rational as well in the near term.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay. And then just the last question was a clarification. I think, Mark, you were talking about the Personal Care margins. Did you say they were going to be equal to kind of 2011 levels?
Mark A. Buthman: Equal to 2011 full year.
Jason Gere - RBC Capital Markets, LLC, Research Division: Full year. So you're talking just -- so it would be a slight decline from where you ended the first quarter, which I think you were...
Thomas J. Falk: I'd say ballpark, we were around 17 for the full year. I would think we'll be around 17 as the right target for 2012. We would say we're in that ballpark.
Operator: Our next question comes from Lauren Lieberman with Barclays Capital.
Lauren R. Lieberman - Barclays Capital, Research Division: I just wanted to follow up on Jason's pricing questions, actually. So pricing in U.S. facial tissues number [ph] in Q4 private label kind of hasn't come around. Are they near that now there, so pricing's in line in that category?
Thomas J. Falk: Yes, I mean, I think so. I'm not -- we took price in facial tissue through sheet count change. And so it is kind of a complicated question. So I'm not sure you'd see it at every account, but we have seen it in some accounts.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. And then the other piece also following up from Q4 was the pack count change in diapers in North America I think hurt volumes. And you'd expected kind of the household, like the pantry inventories to recover in Q1. So was that a little bit of a benefit? Because the volumes sequentially in North America -- it sounded like Personal Care's were a little bit better.
Thomas J. Falk: Yes, that's probably right. We talked about that in the last call where we had -- we took the full hit of the pantry low. And we usually don't even see that much of the pantry destocking effect of lower count. And so probably our volume was more reflective of what's actually happening in the category in the first quarter.
Lauren R. Lieberman - Barclays Capital, Research Division: Or is it better maybe to look at sort of an average of Q4 and Q1, or not really? It really is more Q1, you think, is reflective of category.
Thomas J. Falk: Yes, I would think that most of the pantry and retailer ordering pattern stuff should be flushed through by now.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. Okay, and then the final thing, which is paper towels, you mentioned distribution gains. So was that Viva in particular regaining some distribution or is it Scott?
Thomas J. Falk: A little bit of both. Actually both brands had a pretty solid first quarter. So that was encouraging to see.
Lauren R. Lieberman - Barclays Capital, Research Division: And what do you think is driving it? Because I feel like Viva -- there was, when you go back, it was a bit like you guys were pushing on the revenue realization, this great high-margin, high-priced product you have at the time when, unfortunately, consumers were going other direction. So do you think regaining shelf space there is any sign of kind of confidence on the retailers?
Thomas J. Falk: Well, I think shelf space, I think, as you know, many of the retailers, some large ones in particular, had gone to a much more streamlined shelf set. I think much of that has been rolled back as the consumers wanted to have a bit more selection. We've had a terrific creative campaign with Mike Rowe behind Viva, and that's really resonated well and driven a lot of interest in the brand. We've had some innovation in news as well and that -- all of the collection of that has led to better volume and results.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. Great. And then my final question was just on K-C Professional, because you did mention on -- that growing in international was a big focus. So about, to the degree you can talk about it, like ballpark, how big or small is that business today? How do you really go about expanding that business? Is it kind of the high-margin very big-city-focused? And how much do you expect that to play into the growth story over the next couple of years for that business?
Thomas J. Falk: Yes, I mean, we're already in a lot of markets already. But I'd say if you looked at Russia, China, would be -- and maybe India, would be the new growth platforms over time that we'd be looking at, where we're maybe not as well represented. Latin America, we've got a pretty good-size business, but we're really putting more dedicated resource against it and driving it. I don't know, Paul, if you've got a geographic split of that in terms of emerging markets versus developed markets but...
Paul J. Alexander: Yes, Lauren, if you look at total K-C Professional, about 25% to 30% is in KCI.
Thomas J. Falk: Yes, and so that would compare to 37% of the total company. So it's a little underweight. And on Health Care, it would be even more underweight. So that just gives you some sort of perspective on it.
Lauren R. Lieberman - Barclays Capital, Research Division: And the bulk of it sounds like, then, is in Latin America at this point.
Thomas J. Falk: Latin America will be the biggest piece, reflecting the strong footprint we have in Latin America. We've got a lot more tissue in Latin America and that tends to be a good host to get some of our KCP business started. But we've got a terrific lineup of safety products and wipers that we're taking to global manufacturers around the world. So we can go to Ford or we can go to any other big company and say, "We can give you the exact same wiper solution to drive a consistent manufacturing process in every one of your facilities around the world." There is really no other company in this space that can do that today.
Operator: Our next question comes from Wendy Nicholson with Citi Research.
Wendy Nicholson - Citigroup Inc, Research Division: I have a couple quick ones. First of all, the $45 million in incremental marketing spending, can you break that out international versus U.S.?
Thomas J. Falk: Yes, if you look at -- let me see if I've got that here handy.
Mark A. Buthman: It was roughly about 1/3 in KCI and another...
Thomas J. Falk: Yes, it's pretty proportional to the size of the business. So you'd say, KCI got at least its fair share and probably Personal Care was a little heavier than tissue, which would reflect the launch of innovation, both in North America and in emerging markets.
Wendy Nicholson - Citigroup Inc, Research Division: Okay. Okay, and then the 1% hit on the top line from the lost sales, the -- whatever product line exits you're doing, is there any way to quantify the impact on the tissue margins that came from that initiative specifically as opposed to commodity prices or other things?
Thomas J. Falk: Well, I think the total cost savings from all of our restructuring in the quarter was about $5 million. And so within that, I think some of the advantage of that would be reflected. So not big. And it was about a 1-point drag overall for the lost sales.
Wendy Nicholson - Citigroup Inc, Research Division: Okay, fine. And then my last question -- and I don't mean to sort of beat a dead horse here, but just going back to the diaper market in the U.S. and looking at sort of the pricing trends and the market share trends, and that's the only category where it seems that fairly consistently, but particularly here in the first quarter 2012, private label is gaining, I think, 200 basis points of market share. And so I'm wondering if the spending that you're doing, the innovations you're trying to bring to market -- I mean, I look at Procter's shares and even with Dry Max and hey, it was poorly executed, whatever. But all the innovation that both of you guys are bringing to the market, both of your shares are still way off their peak, and yet private label is way up. So is there...
Thomas J. Falk: I think you might be looking at 3-outlet data, because if we look at all outlet data, I'd say private label shares were down 1.1 points sequentially and they're down 6/10 of a point year-over-year in infant care, and this would be diapers.
Wendy Nicholson - Citigroup Inc, Research Division: Okay. And that may do it, because I'm just looking at the Nielsen data. So if a -- data is different in Wal-Mart, that's good to know.
Thomas J. Falk: Well, that would reflect Wal-Mart, club, dollar, which wouldn't be all in your database. And so...
Mark A. Buthman: This category in particular is far over-indexed to non-measured outlets.
Thomas J. Falk: Yes, I think probably the Nielsen database may only be 1/3 or less of the total category.
Wendy Nicholson - Citigroup Inc, Research Division: So the risk of any price pullback or anything like that or increased promotional spending on the diaper business, not in the future for you.
Thomas J. Falk: Well, I think we would like to. We watch the relative price gaps versus private label. Usually, there's about a 6-month lag between when price goes in on branded products and when private label pricing takes place. So that's something that we will be watching to see what happens in the second quarter, if there is a price movement in private label or not. And so -- but I think, it looks like at this point, across the branded players, the price increase has gone in across all of the major retail outlets.
Operator: Our next question comes from Chris Ferrara with Bank of America.
Christopher Ferrara - BofA Merrill Lynch, Research Division: I wanted to go back, just to make sure I understand, on the EM Personal Care discussion. It sounds like you're suggesting that, that level of growth in Personal Care in KCI is sustainable. Am I getting that right?
Thomas J. Falk: Well, I mean, I'll tell you, it was a very good quarter. So it's been above where we've been. But I also think we've got an aggressive plan put together. And it was a little ahead of plan, but it wasn't a lot ahead of our expectation.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Great, that's helpful. And then I guess the marketing spending, I was wondering if you could try to just break out a little bit the cadence or the pace of what the year-on-year incremental investment's going to look like, and if you can layer that into what the innovation pace looks like. Because I understand that Q1 has been a big innovation quarter. That's obviously going to continue through the year. But how do we think about the year-on-year change in marketing as we go through?
Thomas J. Falk: Yes, if I look at that strategic A&P relative to sales, we -- if you go back to like 2010, we were at a higher rate than we were in 2011. And if you look at our first quarter numbers, we're kind of coming back up close to those 2010 levels. And so I'd say that's probably the right -- more medium-term aspiration is how do we get back on the trend line to have a P&L where we're delivering innovative margin accretive growth and are able to reinvest in strategic A&P to build brands around the world. And so I'd expect to see, as we said on our January call, a faster level of growth in A&P this year than sales growth. And the first quarter was certainly representative of that. But you will have a pretty strong first half spend rate, and then we'll see how things progress in the second half and give you a better look at that in July.
Christopher Ferrara - BofA Merrill Lynch, Research Division: And one last one, I actually caught a piece of your interview on CNBC this morning. And I know you mentioned it a little in the presentation here, but you sounded reasonably optimistic about the channel. And I think you might have said something to the order of sales got better over the last month or the retailers looked more optimistic over the last month. Can you -- did you say that?
Thomas J. Falk: Yes, they were asking about the U.S. economy, and we've been with some KCP distributors recently that were North American-based. And these are folks that would sell to medium-size businesses, would be in the lodging, office supply, even some manufacturing space. And these are some of our best customers. So these are folks that are really doing great things. And they're expecting high single-digit, double-digit growth, had a solid start to the year. And so they were more optimistic. I think, the question was related to, "Are you concerned about the U.S. economy?" And certainly, there's plenty of things to worry about. But there's also some signs of growth that are happening here.
Operator: Our next question comes from Linda Bolton-Weiser with Caris & Company.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: I know you had said something earlier in your comments about Venezuela, and I didn't quite catch what you said. Can you comment again whether you're affected by the price controls there? And also can you remind us what your percentage of revenue and profit is in Venezuela, and just the philosophy about what do you do in this situation? Do you just kind of suffer lower profitability or just what's the philosophy going forward?
Thomas J. Falk: Yes, that's great. Venezuela is a very low single-digit percentage of our sales and profits. I think last year, we announced it was 1% of sales and it was 3% of profits. We're in that ballpark kind of range, is our expectation as to where that can be. And price control went in. And we were on the list. We've worked through with our customers and with the government on how that's going to be executed in the marketplace. And our team is in the process of -- or it's in place. It was effective April 1. And so, our primary concern is to make sure that we can serve our consumers and our customers. So we want to make sure moms have diapers and our consumers have fem care products and bath tissue and facial tissue and all the things that they need to take care of their family. And we want to do that in a way that complies with the rules that the Venezuelan government has passed down. So I think we said, in my remarks, that the first quarter was a little bit more positive than we're going to see in the remaining 3 quarters, but it's still going to be a profitable business for us. And it's one that we're managing carefully. Obviously, getting foreign exchange to be able to pay the bills for imported raw materials and for imported finished product is key, and that supply of foreign exchange has been uneven at times. And so that'll be a key to our back half plan so that we can continue to operate the business successfully.
Operator: Our next question will come from Connie Maneaty with BMO Capital Markets.
Constance Marie Maneaty - BMO Capital Markets U.S.: Just to follow up on Venezuela, what is the average price decline you have to absorb? And how strictly do you think the authorities are going to enforce the regulations?
Thomas J. Falk: I think the price change varied by category. In some cases, it was double digits. In some cases, it was less than that. And I think, like anywhere else we operate, Connie, I mean, our goal is to fully comply with whatever the rules are in the country. And if we can't operate there and make money, then we'll re-evaluate why we're there. But we want to make sure that we're complying. We assume that the government will put compliance measures in place. But I think our goal is to make sure we're in compliance. And then we'll let somebody else worry about if they can get away with playing games with the price list.
Operator: Our next question comes from John Faucher with JPMorgan Chase.
John A. Faucher - JP Morgan Chase & Co, Research Division: So 2 questions here. The first is, if I look at your raw material guidance, it's dollar-based as opposed to unit-based. So the volume appears to be coming in better. You seem to be relatively optimistic. Can we read into it that better volumes with the same level of cost inflation implies a little bit more gross margin upside? So that's the first question. And then the second, just to sort of follow up on Wendy's question, which is it seems as though the diaper business in particular is better suited to this channel fragmentation, particularly in terms of online. So I guess as we look at something like diapers.com, which has a lower level of private label presence, should we expect the branded competitors to take more share as the business moves to that channel? And then secondly, it would seem as though if you don't get the consumer before she buys her first set of diapers, you run the risk of losing her because you have fewer opportunities to switch her brand preference. And I -- so is -- I guess I'm looking for some thoughts you have in terms of that channel dynamic.
Thomas J. Falk: Yes, that's great. Yes, on your first question, I'd say our growth isn't that much higher in our outlook than planned, and I think we'd attribute the same level of overall inflation assumption to a significant change in margin. I mean, it probably would be 10 basis points or less kind of thing. So broadly, I'd say we're a little bit ahead of volume. That should give us some leverage on the operating side. Obviously, if you're putting more high-cost materials through, you'd have potentially more inflation. But our inflation guidance for the year was plus or minus $50 million. So we're pretty close to a neutral cost perspective from a inflation standpoint. So I don't see a big gross margin impact relative to inflation materials related to our higher volume. So on that side. On the second question, on the channel fragmentation issue and the growth of e-commerce, and clearly, I mean, point-of-market entry is a key strategic entry point for the category. So we want to own that in every channel. And then, obviously, the subscription services for moms that are on diapers.com and Amazon and others, you absolutely want to be a part of that. You want to -- that's from a marketing standpoint. A key strategy is to make sure you have the consumer signed up and you make it just an easy choice for her to want to buy your brand. And so we're making sure we're focused on that and getting at least our fair share of consumers in that space. And we're putting more resources against e-commerce, both with our pure play e-commerce customers, as well as with our bricks-and-mortar retailers that also have e-commerce activities to make sure we're getting our fair share of that growing channel. I think there's also key events in a consumer's diapering experience around size change, where they'll sometimes will try a competitive product. And so we want to make sure we're relevant and have the right offer in place at those key moments as well.
John A. Faucher - JP Morgan Chase & Co, Research Division: Just to follow up on that, I mean, is that a channel where you'd say the quality of sales goes higher again? Because it seems as though it's going to be less about the discounts and more about sort of being able to leverage your marketing spend. So even if you have to spend more money online to attract her, you'll spend less in terms of price promotion going forward. Is that...
Thomas J. Falk: Yes, absolutely. You want to look at the total ROI of the whole channel, including trade funding. And so I think everybody's looking at it that way and making sure that -- and quite honestly, moms are pretty savvy shoppers. And you're finding more consumers than ever that are taking their smartphone to the store and scanning the bar code and finding out what the price is online relative to in the store. And so there's greater price transparency of that on every category these days including ours.
Operator: Our next question will come from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: I actually would like to go back to the 3 emerging market, China, Brazil and Russia, that you highlighted. You provided a growth rate in this quarter. Wonder whether you have the growth rate for the fourth quarter. I'm trying to assess this inflection point in growth. And also, if you don't have it, basically, I would like to understand, even if you -- the horizontal growth versus the pipeline field, right? Because it seems like you increased the number of cities in China by 10%. And I understand that this 45% growth includes this pipeline field. But at the same time, you are going to have much greater -- 10% greater points of distribution, theoretically. So that would be the case of China. In the case of Brazil, you are mentioning that you already have an infrastructure, but we also know that there was a wage increase in January. To what extent this wage increase is boosting on the underlying category growth, and that would be an explanation. And also if you can help us understand also Russia. You didn't say how many more distributions cities or distribution points you gained in Russia. I'm just trying to understand, again, what is the new underlying growth in these 3 key emerging markets? If you can help us with that, that would be great.
Thomas J. Falk: Yes, I can give you a little bit of color about that, Javier, and I'd say the growth in all 3 is going to be a step up from where we were in the fourth quarter. Paul may have more precise data but...
Paul J. Alexander: Yes, I mean, at a minimum, they were all up double digits in the fourth quarter.
Thomas J. Falk: Yes. So -- but it's up another gear from that. And if I looked at the 3 of them, I'd say in China it's probably more driven by new distribution, but also going into new segments of the category. So going -- adding a Tier 3 diaper, which is the biggest segment in China, we were really only there in the Super Premium area. We've now gone into the mainline part of the category. So that's -- it's not so much the new cities, it's that we're now swimming in the widest part of the river here. And so we've got more growth from that on top of the new cities, and then adding some innovation like diaper pants. So China is probably more -- we're expanding in other parts of the category and expanding geographically. In Russia, we had a improved -- diaper product improvement going in place. And so that's probably more innovation-driven than new distribution-driven, I would say. And Brazil would probably be a similar story to Russia. We've had some good innovation coming on fem care and diapers. We are expanding into the northeast part of the country, which is more new geography for us. But I think the bigger part of the growth in Brazil is going to come from innovation than from geographic expansion.
Javier Escalante - Consumer Edge Research, LLC: All these initiatives seems to me that they were known, basically, when you provided guidance at the beginning of the year. And it seemed kind of like growth rates to at least double in your largest key markets was surprising to us. So it's just -- I'm just trying to see if there is any other improvement in the underlying growth rate of the market. Because Brazil has been accelerated for a while, China, too. So I wonder whether, in addition to these initiatives that I would imagine you knew about them when you provided guidance, if there is something else happening in the underlying market? Is it that the consumer in -- are emerging markets back after the slowdown in the past 2 quarters?
Thomas J. Falk: Yes, I think it's probably too early for us to really have enough good data and analytics to give you an accurate answer to that. But I would also say the rise in consumerism across emerging markets has been an ongoing trend. And despite what you might read about it, if China is slowing down from 10% to 8%, that's still a pretty aggressive growth rate. And their incomes are improving. And they're wanting more and more of the types of products that we make and sell in those markets.
Javier Escalante - Consumer Edge Research, LLC: Yes, but Brazil decelerated to 1% GDP growth. And China is China, but Brazil, which is larger for you, decelerated to 1% GDP growth in the fourth quarter. That's why the question. Finally, the clarification on -- one clarification on the U.S, and I know that everybody has been asking on this, but -- and it still -- it seem unclear to me. You basically said that your market share in the U.S. is flat. And at the same time, you are growing -- your volume growth is mid- to high-single digits. So does it mean that the category volume are declining 7.5%? Is that what shall we understand it?
Thomas J. Falk: No. Our volume was down mid single digits in the U.S., and we realize price and toss that part of that. And our share, I think, was up 3/10 of a point sequentially, and it was down 2/10 of a point year-over-year by our all-outlet measure. So that was flat [ph] overall.
John A. Faucher - JP Morgan Chase & Co, Research Division: But that would be infant care, but you said that child care was down high-single digits.
Thomas J. Falk: Yes, the child care, the category, is down, and our volume was down high-single digits. Our shares in child care were up 7/10 sequentially and down a couple of points year-over-year.
Operator: Our next question comes from Chip Dillon with Vertical Research Partners.
Chip A. Dillon - Vertical Research Partners Inc.: I just wanted to ask you about the higher marketing spend. You mentioned the $45 million in the first quarter, and if that's sort of a pace we should annualize to $180 million as being an increase that we should see for the full year.
Thomas J. Falk: I think that would probably be a little higher than expectation. But we'd said it would grow faster than sales. And we want to try to get it back on the trend line that we have been on through the 2010 numbers. We took a little step back in 2011. So you'll see a nice uptick at a faster pace than sales, but maybe not quite to the level of multiplying by 4.
Chip A. Dillon - Vertical Research Partners Inc.: Got you. That's helpful. And are there any special strategies or at least any indications of what you plan to do as we get these 6 or 7 new private label machines starting up later this year, and especially next year, that are largely new people in the industry? And just your thoughts on how you are preparing for that.
Thomas J. Falk: Yes, well, I mean, I think we're actually more optimistic about the overall tissue operating rate. I mean, there's been a lot of capacity that's gone out of the market, including our Everett mill is now down. And that was 175,000 tons that's out of the market. We will be taking some capacity out of Chester. Some of the other competitors have done so as well. So we actually have seen the tissue operating rate be pretty high, in the high 80s, low 90s, and would expect that to continue for a while. And as we see the continued growth in the category, as the ability to absorb a couple of new tissue machines a year, and we haven't had that for a while. So we're not as concerned about it. I think we've got a -- in COTTONELLE, we've got a differentiated branded offering with a good innovation plan. And it's a lot tougher to make a product like that, even as you bring on new thru-air dry capacity, than you'd think. Scott Tissue is also a differentiated sheet with a unique position, and strong, loyal brand following. And so we believe that one's well-positioned as well. So we've got good strategies in place to continue to execute our plan and focus on driving that for the benefit of our consumers and our customers.
Chip A. Dillon - Vertical Research Partners Inc.: Got you. And just 2 quick additional follow-ons, Tom. If you could -- I know that the Everett closure was quite substantial, like a couple of hundred thousand tons. Close to that. Can you give us a feel for how much more it will be coming out, just order of magnitude in tons in Chester. And then switching gears, you noted in the slides that your volumes in diapers in China were up 45%. I believe that must be a year-over-year number, which is phenomenal. And could you talk a little bit about how much of that was the market and how much of that could have been market share?
Thomas J. Falk: Yes. On the first question, we'll probably take one machine out of Chester, and it'll be a smaller number by far than what was done at Everett. So you can probably get the ballpark on that. In China, we talked about that a couple of times on the call, where, I mean, I'd say, a good chunk of it was us expanding into new segments of the category, going into the more mainline part of the diaper category in China. We've also expanded from probably 72 to 80 cities. 72 have been in the last year to 80 at the end of the first quarter. And my guess is we also picked up some share. But it's probably -- we're still a relatively small player in China overall. We're getting to scale in the major cities that we've been in for a while. And with the fuller lineup of products, we'd expect to continue to drive that. So we're enthusiastic about the progress so far.
Operator: At this time, we have no further questioners in the queue.
Paul J. Alexander: All right, thanks, David. We'll wrap up with a closing comment from Tom.
Thomas J. Falk: Well, once again, we're off to a great start, and we're making the right investments to support the initiatives that we've talked about in our global business plan, and we want to make sure that translates into terrific value for our shareholders. So thank you for listening today.
Paul J. Alexander: Thank you.
Operator: Ladies and gentlemen, that concludes today's presentation. You may disconnect your lines at this time.